Operator: Good day, and welcome to the Cineplex Third Quarter Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Ms. Pat Marshall, Vice President of Communications and Investor Relations. Please go ahead.
Pat Marshall: Good morning. Before beginning the call, we would like to remind you that certain statements being made are forward-looking and subject to various risks and uncertainties. Such forward-looking statements are based on management’s beliefs and assumptions regarding the information currently available. Actual results could differ materially from those expressed in the forward-looking statements. Factors that could cause results to vary include among other things, adverse factors generally encountered in the film-exhibition industry, risks associated with national and world events, discovery of undisclosed material liabilities and general economic conditions. I’ll now turn the call over to Ellis Jacob.
Ellis Jacob: Thank you, Pat. Good morning and welcome to Cineplex, Inc. third quarter 2014 conference call. We appreciate you joining us today. I will begin this morning with an overview of the Canadian box office during the third quarter and share how Cineplex compared to the industry. I will also highlight some of our key accomplishments during the quarter and then we will take a look at the upcoming film slate. Following this, our Chief Financial Officer, Gord Nelson, will provide more specific details on our financials. Once Gord has concluded his remarks, we will hold a question-and-answer period. Cineplex delivered mixed results for the third quarter of 2014. Box office revenues were down while food service and media revenues were up. Overall we delivered a slight increase in total revenue due to the acquisition of 24 theatres in Atlantic Canada and EK3 renamed Cineplex Digital Networks in 2013. As I have said before, the box office is dependent on the quality of film. This quarter’s top results are a direct outcome of a weaker film slate and the lack of a blockbuster children’s movie such as Despicable Me 2, which was our top-grossing film for the summer of 2013. Moving to the overall industry results, Cineplex outperformed the Canadian industry results with the same storebox office revenues decreasing 10.8% as compared to a decrease of 12.5% for the industry. Over the years we have experienced weaker film performance a few times and I think its worth noting that we do not believe this to be systemic but rather the result of weaker film product. In fact, most industry experts predict that 2015 will be the biggest year for box office in our history. Now lets take a look at our key accomplishments during the third quarter. In our Digital Media business, we substantially completed the deployment of the Tim’s TV network into approximately 2,200 Tim Horton’s restaurant cafe’s across the country. Cineplex Digital Networks along with Cineplex Media are working together to sell advertising and have already signed some major clients to the network for 2015. We also began the launch of North America's first place-based digital ecosystem into Oxford Properties shopping centers. By the end of November we expect the first phase of the installation to be complete in ten locations This phase features large video wall and directories, once complete Phase 2 will expand the video wall channel and introduce the dynamic food court program. In addition, there are much larger exponential initiatives planned for the busy center court areas at some of the key properties. Subsequent to the quarter end, Cineplex Digital Solutions completed the innovative and unique installation of a Digital Lounge within Ivanhoé Cambridge’s Vaughan Mills Shopping Center north of Toronto. There are four unique digital zones that cover a 20X60 foot area. The Lounge is designed to enhance the shopping experience by providing news and social media content as well as interactive experiences. “Time Play” the app that allows movie goers to interact in real time with content on the big screen was substantially rolled out nationally. Time Play will be available in 18 cities on 725 screens nationwide by the end of the year. Also within media, we introduced a new concept called the interactive media zone; this powerful marketing tool comprised of multiple interactive screens enables advertisers to engage with Cineplex’s guests in high traffic theatre lobby locations. The interactive media zone literally stops guests in their tracks inviting movie goers to engage with fully interactive content utilizing Christie Digital Tiles at 84 inch digital screens. The product was created by Cineplex Digital Solutions and the advertising is sold by Cineplex Media. As of September 30, 2014 three interactive media zones have been installed and another ten have been added subsequent to the quarter end. In our food service business we experienced record CPP results this quarter. We also continue to expand our YoYo’s brand adding three new locations and converting another 40 locations from the existing frozen yoghurt retail branded outlet to YoYo’s. At September 30, Cineplex had 48 YoYo’s yoghurt café’s, 89 Outtakes and 15 Poptopia locations. Also during the quarter we opened Canada’s first standalone VIP cinemas at shops at Don Mills featuring five VIP auditoriums and a beautifully licensed lounge at Poptopia. The VIP concept has been very popular with our guests. We now have 11 VIPs cinema locations across the country with more to come as a result of their tremendous success. Early next year, we’ll celebrate theatre openings in Markham and Ottawa both of which will feature VIP cinemas. We will also add VIP cinemas to our newly renamed Scotia Bank Theatre in Saskatoon, and at our popular Yonge Eglinton location in midtown Toronto. Moving onto Digital Commerce, during the quarter the Cineplex still became the first movie on-demand service in Canada to be available on Roku. Using Roku, customers are able to connect directly to televisions and internet service on their home networks. This allows them to stream content on televisions directly from the internet. The Cineplex store now supports the widest range of devices in Canada to watch and enjoy content. We are very pleased with the progress we have made with the Cineplex store and will continue to add new play back devices and content in the months ahead. Since its launch in 2010 the Cineplex app has been downloaded 10.1 million times, up 57% from this time last year, and recorded over 430 million app sessions as of September 30, 2014. Our websites cineplex.com also registered a 3% increase in unique visits compared to the same period last year. Our SCENE loyalty program reached another milestone surpassing 6.1 million members. Subsequent to the quarter end, SCENE announced a strategic marketing partnership with Sport Chek the first major long-term retail partner and a great addition to the program. Sport Chek will launch with SCENE on November 17. With this partnership SCENE members are able to earn and redeem points on purchases made at more than 180 Sport Chek locations across Canada. We will continue to look at opportunities to add future strategic marketing partnerships with complimentary brands that will benefit our members. Now let’s take a look at the film slate for the remainder of the year. After a tough summer, the fourth quarter started strong with Gone Girl starring Ben Affleck which is still doing well in theatres. This past5 weekend we opened Marvels “Big Hero 6” and Christopher Nolan's Interstellar. Cineplex had six of the top ten box office grosses from premium large format theatres in North America for Interstellar showing the power of our UltraAVX brand. On Friday, we have Dumb and Dumber 2 and then later this month a highly anticipated Hunger Games Mockingjay, Part One of the final installment in the trilogy. For our young – and young heart guests we have the Penguins of Madagascar in 3D which we suspect will do very well into the holiday season. Rounding out 2014 and just in time for the holidays we have “The Hobbit: The Battle of the Five Armies”, Exodus with Christian Bale, another installment of Night at the Museum, Secret of the Tomb and the Interview with Seth Rogen and James Franco. Finally, Unbroken directed by Angelina Jolie opens on Boxing Day and Chronicles, the life of an Olympic runner who was taken prisoner by Japanese forces during World War II. There’s truly a movie for everyone. As I mentioned at the beginning of the call, though we are encouraged with what’s to come in the fourth quarter just like many in the industry we look forward to the highly anticipated film slate for 2015. Films like Fifty Shades Of Grey, Disney Cinderella, Fast And Furious 7 which was moved from 2014, The Avengers: Age of Ultron, Tomorrowland with George Clooney, Jurassic World and Inside Out, the new Pixar film are all on the slate for the first half of 2015. Followed by Terminator Genesis the Minions in 3D and Adman from Marvel studios. Then we have the final installment of Hunger Games, the yet to be titled James Bond films, Star Wars, The Force Awakens and Mission Impossible 5 which runs out next year. Box Office results will fluctuate due to film product and that is beyond our control; however we continue to focus on areas where we have more controls such as our food service business with generated record CPP and managing our operating cost by closely monitoring payroll in a low volume environment. We are also committed to our strategy of continuing to diversify Cineplex through other related business areas as a means of offsetting the variability of the box office and continuing to provide consistent returns for our shareholders. Before I turn the call over to Gord, I would like to comment on the announcement by Regal Entertainment on their recent third quarter conference call. Regal announced that they would be exploring strategic alternatives which may include the sale of the company. Many have speculated that Cineplex maybe interested in these asets. From our perspective we will continue to remain steadfast in our commitment to doing what is right for our Cineplex shareholders, employees and guests. We have consistently stated that we will always review opportunities that present themselves, however we will only move forward on those that are accretive, strategic and will provide value with the focus on long term sustainability. We won’t be making any further comments on the subject at this time. Now I will turn the call over to Gord, who will go into the financials in greater details.
Gord Nelson: Thanks, Ellis. I’m pleased to present the third quarter financial results for Cineplex Inc. For your further reference, our financial statements and MD&A have been filed on SEDAR this morning and are also available on our Investor Relations website at cineplex.com. For the third quarter, total revenues increased 0.2% to CAD$299 million, and adjusted EBITDA decreased 17% to CAD$48 million. The results for the quarter were positively impacted by the acquisitions in 2013 of the 24 Empire theatres and EK3 renamed Cineplex Digital Networks. However as Ellis mentioned, the box office was negatively impacted by the soft summer box office performance resulting in the decrease in adjusted EBITDA. Cineplex's third quarter box office revenue decreased 3.3% to CAD$162.6 million from CAD$168.1 million in the prior year. New and acquired theatres added CAD$15.5 million to box office revenue partially offsetting the same-store decrease of CAD$18.1 million due to a weaker film slate. Our average ticket price for the quarter increased to CAD$9.01 million an increaser of 1.9% over the CAD$8.84 reported in the third quarter of 2013. Premium product, including 3D, UltraAVX, VIP, and IMAX, represented 41.7% of our box office revenues during the third quarter of 2014 as compared to 37% in the third quarter of 2013. The impact of premium price product on the average ticket price was CAD$0.98 for this quarter as compared to CAD$0.81 in the prior year. Excluding premium product, our average ticket price remained flat as compared to the prior year quarter at CAD$8.03. Food service revenue increased 0.7% to CAD$92.1 million, as a result of 6.2% increase and concession revenue per patron to CAD$5.11, a quarterly and all time record. RBO optimization, expanded offerings, and increased visitation at the concession outlets led to the continued strong CPP result. Total Net Media revenue increased CAD$4.2 million or 15.4% to CAD$32million. Cineplex Media revenue which is primarily theatre based decreased marginally to CAD$21.7 million from CAD$21.9 million reported in 2013. Cineplex Digital Media revenue increased CAD$4.5 million primarily due to the acquisition of Cineplex Digital Networks which was completed on August 30 of last year. New business opportunities include the Tim’s TV Deployment which was substantially completed by the end of Q3 and the Oxford Properties Group Digital Ecosystem which began deployment during Q3. These new business deployments did not generate significant revenue during the third quarter but we have positioned ourselves well to deliver from these investments in 2015. Turning briefly to our key expense line items, film costs for the quarter came in at 52.6% of box office revenue as compared to 52.4% reported in the prior year. Cost of food service for Q2, 2014 was 21.6% of food service revenue as compared to 21.2% in the prior year. Other costs of CAD$147 million increased CAD$12.6 million or 9.4%. Other costs include theatre occupancy expenses other operating expenses and general and administrative expenses. Theatre occupancy expenses were CAD$50.8 million for the quarter versus a prior year actual of CAD$46.3 million, an increase of CAD$4.5 million due primarily to an incremental CAD$3.8 related to new and acquired theatres. Other operating expenses were CAD$83.7 million for the quarter versus a prior year actual of CAD$73.2 million, an increase of CAD$10.5 million. Major reasons for the increase included a CAD$5.3 million increase related to new and acquired theatres net of closed theatres a CAD$5.6 million increase from the newly acquired Cineplex Digital Networks and CAD$1.2 million increase in costs related to new initiatives including the enhancement and transition of our e-commerce delivery platform and back end infrastructure. These increases were offset by a decrease in same-store payroll cost of $2 million due to lower same store business volumes and a focus on cost controls. G&A expenses were CAD$12.5 million for the quarter, which is CAD$2.3 million lower than the prior year, primarily due to a CAD$2.8 million decrease in long-term and short-term incentive program expenses as a result of the recent operating and stock performance. Interest expense of CAD$5.5 million was CAD$3.2 higher than the prior year amount of CAD$2.3 million, contributing to the increase with a CAD$1.8 million increase in cash interest, as a result of very higher debt balances due to the acquisitions of Cineplex Digital Networks and the Empire Theatres. Non-cash interest increased CAD$1.4 million, mainly due to the accretion of the deferred consideration arising on the acquisition of Cineplex Digital Networks. The company recorded tax expense of CAD$6 million during the third quarter of 2014, of which CAD$1 million was current tax expense and CAD$5 million was deferred. Our blended federal and provincial statutory tax rate currently is 26.3%. The losses acquired on the AMC acquisition, will be fully used in 2014. Net CapEx for quarter was CAD$32.9 million, as compared to CAD$10.8 million in the prior year. The increase was primarily due to our continued investment in new theatres and premium concepts including VIP and investments in digital media projects that were approximately CAD$13.9 million including the previously mentioned Tim’s TV Network and the Oxford Digital Ecosystem. We continue to estimate that net CapEx will be approximately $100 million for 2014 and 2015 as we complete a premium rollouts digital [signage] and media initiatives and the additional build commitments acquired from the Empire. While the weaker films negatively impacted our third quarter results, we continue to remain comfortable where Cineplex Inc is positioned today. Our strong balance sheet and low leverage ratio allows us to continue to invest in future growth for the company and benefit from future strong film product. That concludes our remarks for this morning. And we’d now like to turn the call over to the conference operator for questions.
Operator: Thank you. (Operator Instructions) Our first question comes from Paul Steep of Scotia Capital Markets. Please go ahead.
Paul Steep – Scotia Capital Markets: Hi, good morning Gord, good morning Ellis. Ellis maybe you can talk a little bit about the Tim's TV rollout and what you think that's going to mean how we should think about that over the next quarter. And I think you also mentioned a couple of new media network clients thanks.
Ellis Jacob: Yeah, Paul you know this quarter and through to the end of the year we are basically investing in these systems and networks and as you will see we will get the benefit of these later in the fourth quarter and into 2015. And as mentioned at Tim’s TV there is 2,200 locations across Canada and with significant amount of traffic and our media company is already you know engaged in a number of large clients going into 2015. Similarly at the theatre you know we’ve installed the first three at the end of the quarter were in the major Toronto theatres including Scotia Bank, Queensway and the colossus and we continue to roll that out and that is a phenomenal interactive grab you as you walk by the opportunity for advertisers and as part of the first process we had the ability to take your picture and be on the Cineplex magazine. We are adding more in 2015, so at the end of this week we are at 13 locations.
Paul Steep – Scotia Capital Markets: Great. And Gord maybe you could talk about the CapEx split for ‘15 remind us how much is going to go to new build as well as media? Thank you.
Gord Nelson: Okay, Paul. So we’ve given a sort of a guidance of about $100 million in 2015. So as I kind of stated previously maintenance CapEx will be in roughly the $30 million range as we look at kind of premium initiatives and this is rolling out VIP potentially our -- UltraAVX that will be approximately $10 million. When we look at new theater construction we expect that amount to be again roughly about $30 million. And then the remainder of the balance will be focused on additional digital rollouts and additional new business initiatives.
Paul Steep – Scotia Capital Markets: Great. Thank you.
Operator: The next question comes from Aravinda Galappatthige of Canaccord Genuity. Please go ahead.
Aravinda Galappatthige – Canaccord Genuity Corp: Good morning, thanks for taking my questions. I have just a broader on the box office, you know we’ve seen weakness across North America in recent quarters, is there anything that you noticed in the underlying trends that may have caused this. I mean any particular genres that are consistently showing weakness. I mean, I certainly notice that the box office seems to be skewing more and more toward the top five that you disclosed. I was wondering if there's something to be read into that just wanted your thoughts on that Ellis. Thanks.
Ellis Jacob: Yes, that's a good question because when you look at 2013 versus ’14 one of the big difference is there were not enough kid focused movies and that took a chunk out of us, because Despicable Me too strong that we had Smurfs last year, we had planes. We had a lot of movies that did well like Turbo and they were the bottom part. If you look at the first five for 2013 versus 2014 they were pretty close. That was the bottom part of the slate that delivered quite well for us. And Monsters University and most of those movies were focused on the younger demographic. The other thing that hurt us in the third quarter, the studios kind of stayed from many big films that collided directly with the World Cup that was taking place in Brazil. To that took a little bit of a chunk out of us. But when you look at 2015, Aravinda, to me it looks like you’ve got some of the strongest films out there. So, I think it will come back. And this reminds me of 2005 when we acquired Famous Players and the box office decreasing and everybody got nervous, but understanding this business as a management team we took the opportunity and it has paid off significantly.
Aravinda Galappatthige – Canaccord Genuity Corp: Thanks for the color. And just question for Gord, with respect to the media business, any changes in terms of the mix with respect to the categories or sectors. I know that CPG’s have been sort of growing in terms of your media mix. And then related to that, I just wanted to get your thoughts on that component of Cineplex Media components that we outlook, I know the last couple of quarters they’ve flatten out a bit, just your thoughts on that component? Thanks.
Gord Nelson: Yeah. So, I mean, with respect to sort of the outlook, I think on a year to-date basis we’re relatively kind flat. It’s been a challenging advertising environment for basically everyone in the space. The World Cup and Olympic I think had have some level of impact on us. As you will see what we look to going forward and some announcements we’ve made during the last quarter with respect to some of the digital media assets that we’re deploying within our theaters. What we were as we’re continuing to provide a portfolio of media offerings for our customers both within the theaters and now externally, so those talked about the interactive media wall which can deployed at multiple theaters that with external third parties with the digital poster case initiatives amongst other as we’re providing additional portfolio of offering. So, we see those as emerging spaces within our own theater and avenues for growth into the future. With respect to your question on sort of mix and what we saw during the third quarter then, typically wireless and auto tends to be our major categories. There’s a little bit uptick in wireless in the third quarter versus the prior year, but an auto was relative fattish and retail was actually down a little bit in the third quarter. So, although we’re relatively flat there wasn’t an awful lot of shift I think within some of the category mix within our business during the third quarter.
Aravinda Galappatthige – Canaccord Genuity Corp: Great. Thank you. I’ll pass the line.
Operator: Thank you. The next question comes from Kenric Tyghe of Raymond James. Please go ahead.
Kenric Tyghe - Raymond James: Thank you. Good morning. Ellis, just with respect to the slates, you’ve highlighted obviously the strength in 2015 and my read of that would be that Avatar moving to 2016 is neither here nor there. What I’d like try and sort of confirm whether that is also your read, but also looking beyond 2015 into 2016 and 2017 was the second and third installments in that franchise. Should that be read as just giving sort of more runway on the backend and what particularly powerful franchise or how should we be looking at the bump in Avatar reach sort of 2015 to 2016?
Ellis Jacob: I think in 2016 you going to have Avatar. You also got Captain America, Allison Wonderland, X-men, Ice Age, Batman, Diversions series, Another Planet of Apes, Smurfs, there is a ton of great product also moving into 2016. So I don’t think when you look at 2015 and 2016, now its kind of hard to tell once you get into the latter half of 2016, because movies move around a bit, but I think what the Avatar and bump we’re going to get in 2015 and the carry over into 2016 and the slate in 2016 you’re going to see a pretty strong couple of years coming out of Hollywood.
Kenric Tyghe - Raymond James: Thank you. Ellis, I’ll leave with it.
Ellis Jacob: Thank you.
Operator: Thank you. The next question comes from Tim Casey, BMO. Please go ahead.
Tim Casey – BMO: Thanks, Gord, can you just remind us, do you have any currently exposure, I don’t think you're paying anybody in U.S. dollars, but can you just reflect on that. And then also on your digital network growth platform can you talk about your plans to go out and get additional customers beyond what you've already noted in particular anything you're doing in the U.S. how that's rolling out? Thanks
Gord Nelson: Sure. Okay. So, let’s take that second question first, Tim, so as we mentioned I think you’re in the last conference call, we opened a sales office in the U.S. and the one thing you need to remember about the digital media business, is there’s a long lead time in terms of getting new customers. We got to remember that your timing, digital systems into their own internal data basis using their data to drive and change customer behavior. So it can be a very long lead time up to a year or longer with an out. What we’re trying to do which is build business with an existing customers, so Tim’s TV is an excellent example of working with an existing client, add on revenue streams and then we’re also looking for new customers, also in the U.S. And although we’re not announcing anything at this point in time, you can probably recognize that we’re focused on three verticals which includes QSR retail and financial institutions and that we’re working with a number of large global brands with their operations in Canada and some of those has an untapped opportunities within the U.S. And sorry the first question, Tim, if you can just repeat for me.
Tim Casey – BMO: With respect foreign currency as was mentioned, all our payments to studios are in Canadian dollars were based on the box office revenue generated in Canada. We have very low levels of exposure to our currency.
Operator: Thank you. The next question comes from Steve Li, Industrial Alliance Securities. Please go ahead.
Steve Li - Industrial Alliance Securities: Hi, good morning. So first question regarding potential M&A especially in the U.S. most exhibitors in the U.S. have outsourced their media division. Can you share your views on the synergies of controlling that business and if that may limit your – the possibilities of say for [reefing] to the US markets?
Gord Nelson: You know Cineplex did operate cross-border media business a number of years ago and was part of Lowe's group that operated across border media business. The one thing that I do have to remember is that there is sort of a hard line at the border with respect to some synergies on the relationships with advertisers. As an example Toyota is doing a campaign that will have, you know use a different agency in the U.S. instead of in Canada. So that would provide less in terms of synergies by having cross-border platform. And that's really the experience that Cineplex saw a number of years ago when we did operate eight North American advertising business and we were really distinct.
Steve Li - Industrial Alliance Securities: Okay. So let's say you guys take a shot and decide to buy some assets in the U.S. without controlling that media business. Is it still appealing, or there is other things that maybe appealing to you guys?
Ellis Jacob: I think what was said is what were focused on growing our digital signage business in U.S. We’ve mentioned that we’ve opened an office in the U.S. and it's primarily a service-based business that’s working with the brand itself; it's not necessarily selling advertising so that would be really the focus of our first entry into the U.S.
Steve Li - Industrial Alliance Securities: Great. Regarding the Tim's TV rollout was there anything contribution during Q3 or its mainly in Q4 that will see some of the…?
Gord Nelson: Yeah. Like we said we just really completed the rollout just at the end. We have substantially complete at the end of Q3. So, yeah, you’ll see the first contributions occurring in Q4.
Steve Li - Industrial Alliance Securities: Great. Maybe last question regarding the interactive experience, do you guys mentioned about 403 million sessions, any correlation between movie downloads or tickets purchased online over the past years?
Ellis Jacob: So you're mentioning our digital commerce business.
Gord Nelson: Really I think Stephen, so with respect to kind of downloads you've got to remember the number of different reasons why people are downloading the apps and probably to get show times a buy tickets online, so we continue to see increases in purchases of tickets online, with respect to those initiatives. And the download business as we've always said, it's a growing significantly from a percentage basis. But it's always started from a small base. So it is translating on absolutely a percentage basis, but it's still a business that’s evolving.
Steve Li - Industrial Alliance Securities: Thank you. No other question. Thank you.
Gord Nelson: Thank you.
Ellis Jacob: Thanks Steve.
Operator: Thank you. [Operator Instructions] Our next question comes from Rob Goff of Euro Pacific Canada. Please go ahead.
Rob Goff – Euro Pacific Canada: Good morning and thank you very much for taking my question. It may relate a bit to what Stephen has just asked. Gord, you describe your digital downloading business as evolving. Could you talk to how you see that evolution or the momentum building with specific reference there to Super Ticket titles and how you might just stimulate this business?
Gord Nelson: What we always kind of mention when we talk about this business is 2009 Canadians spent about $2 billion in the states it was primarily higher good purchases and rentals. And not that business is going to transition over time, and as you see new devices available for consumers to access content at home or mobile. So, it is a model that's evolving over time and we've always said that we expect probably a five-year transition. And that we've seen significant growth. Now when we introduced concepts like discount rentals on Tuesdays when we introduce concepts like Super Ticket the ability to blend narrow home experience with a new mobile experiences, those are all kind of drivers of growth in the future when we converted over our platform and focused on the user experience in Q2, Q3. Those are all initiatives to drive future uptake. So, in part we do everything that we can do to drive adoption but the market itself is going to kind of slowly evolve over time.
Rob Goff – Euro Pacific Canada: Okay. Thank you.
Operator: Thank you. The next question comes from Haran Posner of RBC. Please go ahead.
Haran Posner – RBC: Yeah. Thanks very much. Good morning. Maybe starting with you Ellis, wondering if you could make some comments with respect to Netflix obviously in the last couple of months they made a few announcements getting more heavily into the film business and maybe your thoughts on how that dynamic plays out in terms of windowing and so forth?
Ellis Jacob: Well Netflix, I guess it was about a month ago where they announce that they were going to be acquiring a movie called Crouching Tiger and they were going to be releasing it through Netflix. Concurrently IMAX made a statement that they were going to be also releasing it in IMAX theaters. We as exhibitors do not treat that as something that we would participate in. I think all large exhibitors in North America publicly stated that. And subsequent to that Netflix talked about doing four movies with Adam Sandler over the next two years. But the movie business itself is a big universe. There are a lot of big players in this business. I think when you look at Netflix these are small niche opportunities that they are using. They themselves say that 70% of their activity is in television and we've seen with the other streamings that are coming on board that most of the focus is television. The benefit we have overall of our other competitors is we are the first touch point in the movie business and we continue to focus on those 77 million guests that come through our door. And to us it's all about making sure when Canadians think about movies they think about Cineplex. And that is kind of where our head is focused. I think when Netflix made their statement they were looking to get additional attention as to their assets and their whole focus on the movie business. So I don't think it's going to be as concerning as one would imagine. And secondly, we are well positioned as an organization at Cineplex Inc. Canada and as I stated earlier, we are now available in mobile devices to download movies than any other company that provides that service in Canada
Haran Posner – RBC: That’s great. Thanks for that Ellis. Then maybe just one for Gord. With respect to SCENE any addition of Sport Check and potentially others in the future here, is there something from a financial standpoint that we should concern ourselves with right now sort of in terms of revenues that I guess are going to be coming directly from SCENE?
Gord Nelson: And just – so everyone remember we had a 50-50 JV with SCENE. We proportionately consolidate with SCENE at this point in time. So any revenues and expenses you see proportionately in our other revenue and other operating expenses. As we have mentioned as we enter into agreements of coalition partners what you'll see is a selling of SCENE points and then a sort of earn and burn type concept weather could potentially be a margin earned points issuance. So I would say, if anything to become significant we would obviously disclose those amounts. But this is just positive for both Cineplex and Scotiabank in terms of bringing more members and another significantly strong coalition partner into the program.
Haran Posner – RBC: Okay. Thanks for that.
Operator: Thank you. [Operator Instructions] Our next question comes from Adam Shine of National Bank. Please go ahead.
Adam Shine – National Bank : Thanks a lot. Good morning. Gord maybe I missed it, but can you just highlight what the EBITDA contribution was in the quarter from Empire and I would presume EK3 was the deminimis, but if you can give any color on that?
Gord Nelson: Yeah. So let's do EK3 first. And as you guys know that the building the businesses into the U.S. have been focused on new business opportunities with now a couple, so, were really looking to invest in taking EK3 to that next level. With respect to your question on Empire, first what I want to mention on Empire with respect to where we are today I'm happy to say that we expect that we will end the year despite the reduced business volumes in line with the EBITDA contribution that Empire had last year in one of the record years for the business. And that we have deployed and invested in some technology initiatives to enhance the media business in the Maritimes, and that we as of the and of the second quarter believe that we’re fully on target to deliver all the synergy that we believed we could get on a pro forma basis going forward. So with respect to the third quarter Empire delivered about $20 million in total revenue $20.2 million in total revenue and about $5.1 million in EBITDA.
Adam Shine – National Bank : Okay. So that's bigger than expected. When I look at the CapEx, I know there was an earlier question, so looking out in terms of 2015 about $100 million. I want want to talk a little bit about the anticipated step down post 2015 presumably some of the new theater builds are to contract in terms of number. Do we step down to a level closer to 70 or perhaps even lower than that?
Gord Nelson: Yes, the maintenance has been kind of running around $30 million. So that's going to continue. The premium rollouts – once VIPs that would phase out, so we would expect that. Potentially it could phase out after 2015. And then, traditionally, we've said two to three builds a year and I think even going 2016 plus, that could be now down to one or two builds. So I’d say $10 million a build, you’ve got maintenance of $30 million, $20 million and builds of 50 and potentially another 10 as we continue to develop some of these hybrid business models in the digital signage space or potentially invest in another e-commerce type initiative.
Adam Shine – National Bank : Okay. Thanks for that. Just lastly, I think you might have touched on this earlier, I think I'm not sure if I heard it properly, you know, when we focus on the other theater OpEx and obviously there’s some labor costs there offering some variability. Ultimately it looks like the line item came in pretty much at the run rate that we saw in Q1 and Q2 notwithstanding the fact that the Q3 box office was particularly weaker compared to the first half trend. So notwithstanding obviously some puts and takes or maybe you can just repeat to us, should we be thinking about the ongoing spend with all these various initiatives ultimately at least in the short term pushing cost up perhaps a bit higher than many of us are modeling?
Gord Nelson: Yeah, I think Adam, the one thing that you got to remember and payroll in that category, the other operating expenses payroll is roughly 40% of that category, so it’s a major component. It’s better for you to look at the prior quarter in the prior year rather than Q1 versus Q3. The one thing you got to remember about Q3 is that the theaters are open for longer operating hours. So, the fact that we've managed payroll versus the prior year is really what's important that we been able to reduce same-store payroll by $2 million but there or more operating hours.
Adam Shine – National Bank : Okay. Great. Thanks for that.
Operator: Thank you. There are no further questions at this time. We’ll turn the conference back to Ellis Jacob.
Ellis Jacob: Thanks everyone for joining us this morning. We look forward to speaking with you again during our fourth quarter and year-end results call in February 2015. Have a wonderful and happy holiday season.
Operator: Ladies and gentlemen, this does concludes the conference call for today. You may now disconnects your line and have a great day.